Operator: Good morning. And welcome to the Patterson Companies, Inc. Third Quarter Fiscal 2024 Earnings Call. Please note that today’s call is being recorded. All lines have been placed on mute to prevent any background noise. After the speaker’s remarks, there will be a question-and-answer session. [Operator Instructions] I will now turn the call over to John Wright, Vice President of Investor Relations. You may begin your conference.
John Wright: Thank you, Operator. Good morning, everyone. And thank you for participating in Patterson Companies’ fiscal 2024 third quarter conference call. Joining me today are Patterson President and Chief Executive Officer, Don Zurbay; and Patterson Chief Financial Officer, Kevin Barry. After a review of our results and outlook by management, we will open the call to your questions. Before we begin, let me remind you that certain comments made during this conference call are forward-looking in nature and subject to certain risks and uncertainties. These factors, which could cause actual results to materially differ from those indicated in such forward-looking statements, are discussed in detail in our Form 10-K and our other filings with the Securities and Exchange Commission. We encourage you to review this material. In addition, comments about the markets we serve, including growth rates and market shares, are based upon the company’s internal analysis and estimates. The content of this conference call contains time-sensitive information that is accurate only as of the date of the live broadcast, February 28, 2024. Patterson undertakes no obligation to revise or update any forward-looking statements to reflect events or circumstances after the date of this call. Also, a financial slide presentation can be found in the Investor Relations section of our website at pattersoncompanies.com. Please note that in this morning’s conference call, we will reference our adjusted results for the third quarter of fiscal 2024. The reconciliation tables in our press release are provided to adjust various reported GAAP measures for the impact of deal amortization and an interest rate swap, along with any related tax effect of these items. We will also discuss free cash flow as defined in our earnings release, which is a non-GAAP measure and use the term internal sales to represent net sales adjusted to exclude the impact of foreign currency, contributions from recent acquisitions and the net impact of an interest rate swap. These non-GAAP measures are not intended to be a substitute for our GAAP results. This call is being recorded and will be available for replay starting today at 10 a.m. Central Time for a period of one week. Now, I’d like to hand the call over to Don Zurbay.
Don Zurbay: Thanks, John, and welcome, everyone, to Patterson’s fiscal 2024 third quarter conference call. I will begin my remarks today with the highlights of our consolidated results and then a review of our core strategic objectives and the progress we are making toward those goals before providing details on the financial performance of each of our segments. I’ll start with some key highlights. Our team executed well and successfully navigated a dynamic environment to deliver year-over-year sales growth and gross margin expansion. On the topline, year-over-year internal sales increased 0.3%, driven by continued above-market sales growth in our Dental Consumables and Production Animal businesses, demonstrating the deep, differentiated value proposition we provide customers across our end markets. Our initiatives to drive margin improvement continue to prove successful as we’ve expanded gross margin for Patterson as a whole by 30 basis points when compared to the same period a year ago. This result reflects our continued focus on efficiency, including working strategically with manufacturers, driving improved mix, exercising expense discipline and leveraging our cost structure. On the bottomline, our financial results reflect ongoing cost discipline measures balanced against the continued strategic investments Patterson is making across our businesses to further enhance our long-term performance and profitability. We also returned nearly $150 million to shareholders in the form of dividends and share repurchases during the quarter. Ultimately, Patterson generated an adjusted EPS of $0.59 for the third quarter. Looking forward, we are revising our fiscal 2024 earnings guidance to reflect our expectations for the fourth quarter, including continued headwinds in the Dental Equipment market, which I will provide more detail on shortly. For fiscal year 2024, we now expect to deliver adjusted earnings in the range of $2.30 per diluted share to $2.35 per diluted share. As we move forward, we remain confident in the resilience of our end markets, the strength of our business and Patterson’s competitive positioning and value creation potential. Our confidence is underscored by our decision to repurchase approximately $125 million of shares during the third quarter and steadfast commitment to our long-term strategy. Our team remains dedicated to executing against our long-term strategy, which, as a reminder, is designed to achieve four core objectives. First, drive revenue growth above the current end market growth rates. Second, build upon the progress we’ve made to enhance our margin performance. Third, evolve our products, channels and services to best serve the customers in our end markets. And fourth, improve efficiency and optimization. Leveraging our strong balance sheet, we continue to invest across the business to drive progress on these strategic objectives during the third quarter. This included investments in our distribution capabilities and software offerings to further differentiate Patterson as a partner of choice for our customers. I’d like to highlight just a few specific examples that we’ve been working on to demonstrate our progress. First, the recently expanded dental distribution facility in Montreal, Canada is open and operational. This state-of-the-art facility, equipped with a modern software system and advanced fulfillment infrastructure, will enhance our ability to serve our Canadian customers effectively and efficiently. This modernization effort enables Patterson to further optimize our sales effort, gain deeper insight into our customer needs and identify potential gaps in our offerings in this market, ultimately allowing us to bring Patterson’s full value proposition to bear for our customers in Canada. We’re excited about the opportunity our investment in Montreal can bring, as we’ve seen the benefits of similar investments in other geographies. Our fully automated, next-generation Animal Health fulfillment center in the U.K., which we call the Big Shed, has already fueled accelerated revenue growth and strengthened our market position in the region. During the third quarter, Patterson also continued to invest behind our robust suite of software solutions in both our Dental and Animal Health segments. As we’ve discussed previously, we believe the opportunity for growth within software is meaningful and we’re investing to enhance our existing products, drive productivity gains and cater to evolving customer preferences. For example, during the third quarter, our Dental business announced a relationship with Pearl, a leading AI solution provider for the Dental business. This will enable us to integrate Pearl’s AI pathology detection feature set, called Second Opinion, into Patterson’s Eaglesoft practice management software. Second Opinion uses AI to help dentists detect conditions commonly diagnosed in X-rays. It’s a great example of the way we’re investing in our existing solutions to create enhanced value for our customers. We’re also partnering with Pearl to build integrations with our Fuse cloud-based practice management software and Dolphin practice management software. Those integrations will be announced at a future date. On the Animal Health side, we’ve continued to invest in Turnkey, a market-leading enterprise resource planning system for cattle producers. The majority of U.S. cattle on automated feed systems are managed by the Turnkey platform. Our recent investments have focused on empowering cattle producers to make more data-driven decisions as they leverage Turnkey to run more efficient, profitable businesses. We have confidence in the investments we are making for the long-term growth and success of Patterson, especially as we continue to build a track record of driving returns from our strategic investments. Last year, Patterson completed acquisitions of Dairy Tech and RSVP and ACT. Today, Dairy Tech, which provides pasteurizing equipment for producers, is operating as a Patterson-owned brand and is continuing to perform ahead of our internal projections with strong margin contributions. Meanwhile, our team is continuing to expand RSVP and ACT’s geographic reach to serve more veterinary and staffing and video-based training services and needs across additional states, as well as data extraction and conversion services. As we’ve said before, we remain committed to managing the organization with a keen focus on cost disciplines. We continue to focus on running a rigorous process for this discipline and return on our investments that leverages best practices and advanced operational excellence across the enterprise. As we enter the final quarter of fiscal 2024 and look forward to fiscal 2025, we continue to believe that the strength of our team, the resiliency of the Dental and Animal Health end markets, and our comprehensive value proposition make Patterson well-positioned to drive enhanced growth, profitability and value creation over the long-term. Now I’ll provide more detail on the financial performance in each of our two business segments during the fiscal third quarter. Let’s start with Dental. In the third quarter, Dental segment internal sales increased 2.5% year-over-year, driven by robust performance in consumables. We believe both our consumables and equipment business performed better in the overall market during the third quarter. The Patterson team’s steadfast focus and execution has enabled us to consistently deliver above-market growth in consumables over the past year. In fact, if you take a look at the four fiscal quarters prior to Q3, we delivered an average quarterly year-over-year consumables growth of just over 5%, excluding certain infection control products. We built upon this track record in the third quarter, achieving over 6% growth in the category, and when excluding certain infection control products, just over 7% growth. We attributed our continued success in consumable growth to Patterson’s differentiated value proposition for Dental customers. It is rooted in strong execution on the deep relationships we have built with our Dental customers over time, thanks to a mature and knowledgeable sales force that acts as a true partner to Dental customers of all sizes, from independent practices to DSOs and everything in between. Our team is consistently seeking to be an indispensable partner that supports dentists with everything they need to run their practices, allowing them to focus on what’s important, patient care. Our consumables performance during the quarter was also supported by consistent patient traffic, reflecting the Dental end market’s resiliency and ability to drive demand despite inflationary pressures. Patients continue to prioritize essential dental care, even when they might be cutting back on some of the other discretionary spending. In the Dental Equipment business, internal sales declined on a year-over-year basis about 2%, as improved performance in high-tech equipment was more than offset by declining core equipment sales, as we lapped post-COVID supply chain delays. Our results demonstrate two key points. First, the variability of the Dental Equipment category and how equipment sales, whether high-tech or core, can fluctuate year-over-year and quarter-to-quarter. During the third quarter, this bore out with lower-than-anticipated sales performance in our core equipment category. Second, in our fiscal 2024 third quarter, equipment demand was challenged by continued macroeconomic pressures, including comparatively higher interest rates and less capital availability than the year-ago period. We expect these dynamics to continue to shape our equipment performance in the fourth quarter and have revised our 2024 full year adjusted UPS guidance accordingly. We have navigated economic cycles successfully in the past. We remain confident in our ability to overcome these headwinds by continuing to work strategically with our manufacturing partners and by delivering comprehensive support that enables our customers to streamline operations, optimize resources, and ultimately, focus on patient care. What’s most important are the longer term trends. The growing use of digital technologies enables dentists to offer an improved patient experience with a higher level of oral healthcare. That improved experience for both dentists and patients drives demand for innovation and supports a long runway of growth over time. When new technology enters the marketplace, Patterson is best positioned to sell, finance, install and service that technology for the complete lifecycle of those investments. Finally, Dental internal sales in our value-added services category were roughly flat compared to the prior year period. Value-added services represent the entire suite of offerings we provide to our customers to enhance the customer experience, drive loyalty and help make Patterson an indispensable partner to their practice. The Dental value-added services category includes software and e-services, the foundation of a modern dental practice, and remains a long-term growth opportunity for Patterson. We are confident that continuing to invest in and promote our cloud-based software helps maximize our value-added services offerings and will deepen our comprehensive value proposition to our customers. Looking ahead, we believe the Dental market remains stable with healthy underlying fundamentals, including an aging population, practice modernization and a direct link between the patient’s oral health and overall health. We remain confident in our team’s ability to effectively navigate a dynamic environment and achieve our long-term goals. Now let’s move on to our Animal Health segment. During the third quarter, Patterson’s Animal Health segment internal sales decreased 1.5% year-over-year, as above market growth in the Production Animal business was more than offset by reduced sales in the companion animal business. Our Animal Health team achieved year-over-year adjusted operating margin improvement of 22 basis points, further building upon their track record of year-over-year operating margin expansion in six of the last eight fiscal quarters. This excellent progression is testament to the Animal Health team’s disciplined execution of the margin accretive initiatives that we have put in place. In companion animal, our internal sales in the third quarter declined by low-single digits. This performance reflects our own strategic decisions and continued discipline to focus on more profitable business in the quarter in ways that modestly reduced our topline growth while supporting our margin enhancement initiatives. This includes working closely with vendors who reward us for our extensive value proposition. We remain committed to driving continued margin expansion while sustaining healthy topline performance within a stable end market. Over the long-term, we expect the companion animal market to grow in the low-single digits, building upon the substantial growth this market has experienced since the onset of the pandemic. The health of this end market is supported by strong fundamentals and positive long-term trends in pet parenting. On the Production Animal side, thanks to our team’s outstanding execution, third quarter internal sales grew by low-single digits in a dynamic market environment. We believe Patterson continues to outperform the broader Production Animal market due to the strength of our omnichannel presence, highly tailored distribution strategy and comprehensive offering across species. Across the Animal Health segment, our value-added services category delivered robust double-digit growth during the quarter, reflecting continued demand for a suite of software solutions and e-services that resonate strongly with customers. Similar to our Dental segment, our value-added services offering is a differentiator for Patterson and enables us to support the full lifecycle of equipment for our customers. We’re confident that the opportunity for continued growth within software remains significant. We continue to invest in existing solutions to better leverage our strong foundation, add to our capabilities and address evolving customer preferences. As we look ahead, we believe our Animal Health business is positioned for continued success. Now, I’ll turn the call over to Kevin Barry to provide more details on our financials.
Kevin Barry: Thank you, Don, and good morning, everyone. In my prepared remarks this morning, I will cover the financial results for our third quarter of fiscal 2024, which ended on January 27, 2024, and then conclude with our outlook for the remainder of our fiscal year. Let’s begin by covering the financial results. Consolidated reported sales for Patterson Companies in our fiscal 2024 third quarter were $1.62 billion, an increase of 1.0% over the third quarter of one year ago. Internal sales increased 0.3% compared to the same period last year. Gross margin for the third fiscal quarter 2024 was 21.7%, an increase of 30 basis points compared to the prior year period. Beginning with our fiscal 2024 second quarter, we began providing the financial metric adjusted gross margin, which is a non-GAAP financial measure that adjusts gross margin for the impact of the mark-to-market accounting related to our equipment financing portfolio and the associated interest rate swap hedging instrument. The accounting impact of the mark-to-market adjustment impacts our total company gross margin, but not the gross margin within our business segment. And as previously mentioned, the net impact of interest rate fluctuations between the swap and the equipment financing portfolio has minimal impact on net income. For the third quarter of fiscal 2024, our adjusted gross margin was 21.6%, an increase of 30 basis points compared to the year ago period. Adjusted operating expenses as a percentage of net sales for the third quarter of fiscal 2024 were 16.8% and unfavorable by 70 basis points compared to the third quarter of fiscal 2023. A portion of the unfavorable comparison is attributable to expenses associated with the strategic investments we made to enhance our distribution capabilities and software offerings in the quarter. In the third quarter of fiscal 2024, our consolidated adjusted operating margin was 4.7%, a decrease of 50 basis points compared to the third quarter of last year. Adjusted operating margin includes the adjustment for the interest rate swap mentioned previously. For the remainder of fiscal 2024, we intend to continue exercising expense discipline, while also prioritizing the margin enhancement initiatives that have been yielding results within our business segments and for the company overall. Our adjusted tax rate for the third quarter of fiscal 2024 was 23.3%, an increase of 80 basis points compared to the prior year period. Reported net income attributable to Patterson Companies, Inc. for the third quarter of fiscal 2024 was $47.7 million or $0.52 per diluted share. This compares to reported net income in the third quarter of last year of $53.9 million or $0.55 per diluted share. Adjusted net income attributable to Patterson Companies, Inc. for the third quarter of fiscal 2024 was $55.0 million or $0.59 per diluted share. This compares to $61.1 million or $0.62 per diluted share, in the third quarter of fiscal 2023. This decrease in adjusted earnings per diluted share for the fiscal third quarter was primarily due to lower sales of Dental Equipment and increased operating expenses compared to the prior year period. Now let’s turn to our business segments, starting with our Dental business. In the third quarter of fiscal 2024, internal sales for our Dental business increased 2.5% compared to the third quarter of fiscal 2023. Internal sales of Dental Consumables increased 6.3% compared to one year ago, despite being impacted by continued price deflation of certain infection-controlled products. Internal sales of non-infection-controlled products increased 7.2% in the third quarter of fiscal 2024 compared to the year ago period. This negative impact from infection-controlled product deflation has steadily moderated over the past year and we expect the year-over-year deflationary impacts to normalize by the end of fiscal year 2024. Internal sales of Dental Equipment during the quarter decreased 2.4% compared to one year ago. Our equipment category continues to be impacted by headwinds related to macroeconomic concerns, a higher interest rate environment and selling price declines. However, during the third quarter, digital X-ray and CAD/CAM equipment categories posted positive sales growth, reflecting the desire for many dentists to continue investing in technology to modernize their practices. Internal sales of value-added services in the third quarter of fiscal 2024 decreased 0.2% over the prior year period. Value-added services, including our software offerings, represent the entire suite of offerings we provide to our customers that help make us an indispensable partner to their practice. We remain confident in the investments we have made in this important category and the continued progress on our long-term strategy. Adjusted operating margin in the Dental segment was 8.9% in the third quarter of fiscal 2024, which represents a 130-basis-point decrease over the prior year period. Increased operating expenses related to our SAP implementation and warehouse expansion in Canada, along with investments in our software and technical service business, drove the unfavorable comparison in adjusted operating margin on a year-over-year basis. Now let’s move to our Animal Health segment. In the third quarter of fiscal 2024, internal sales for our Animal Health business decreased 1.5% compared to the third quarter of fiscal 2023. Internal sales for our total companion animal business during the quarter decreased 3.8% over the prior year period. Positive internal sales performance from our NBS business in the U.K. was more than offset by a decline in internal sales in the U.S. companion animal business. Internal sales for our Production Animal business in the fiscal third quarter increased 1.1% compared to the prior year period. Our Production Animal team continues to execute well in a challenging market and our omnichannel approach across several species continues to pay off with sales growth above the overall market. The adjusted operating margin in our Animal Health segment was 4.4% in the fiscal 2024 third quarter, an increase of 20 basis points from the prior year period. Gross margins in our Animal Health segment were up in the fiscal 2024 third quarter and additional operating expense discipline drove the operating margin increase on a year-over-year basis. Now let me cover cash flow and balance sheet items. During the first nine months of fiscal 2024, our free cash flow improved by $11.9 million compared to the same period one year ago. This is primarily due to a decreased level of working capital in the first nine months of fiscal 2024 compared to the prior year period. Now turning now to capital allocation. Our capital spending in the first nine months of fiscal 2024 was $51.2 million, which is $8.8 million higher than the first nine months of fiscal 2023. This increased spending reflects the investments we are making in our distribution capabilities, as well as software and value-added services. We continue to execute on a key capital allocation strategy of returning cash to our shareholders. In the third quarter of fiscal 2024, we declared a quarterly cash dividend of $0.26 per diluted share, which was then paid at the beginning of the fourth quarter of fiscal 2024. We also repurchased approximately $124 million of shares during the third quarter of fiscal 2024, returning a total of $148.8 million to shareholders through dividend and share repurchases. And through the first nine months of fiscal 2024, we have returned $289.6 million to our shareholders through dividends and share repurchases. Let me conclude with our outlook for the remainder of fiscal 2024. Today we are revising our fiscal 2024 GAAP earnings guidance to a range of $1.99 per diluted share to $2.04 per diluted share, and our adjusted earnings guidance range to $2.30 per diluted share to $2.35 per diluted share. We have made these revisions to our GAAP and adjusted earnings per share guidance to account for the current macroeconomic environment and aforementioned conditions in our end markets that we believe are likely to persist for the remainder of our fiscal 2024 year. And now I will turn the call back over to Don for some additional comments.
Don Zurbay: Thanks, Kevin. Before we open it up for Q&A, I want to thank the entire Patterson team for their continued hard work and commitment to our strategy of serving our customers. As we conclude fiscal 2024, we remain focused on navigating the current environment by staying true to our strategic objectives and achieving operational excellence. Our efforts are concentrated on executing to end our fiscal year in a position of strength. We are confident that the strength of our team, the resiliency of the Dental and Animal Health end markets, and our comprehensive value proposition make Patterson well-positioned to drive enhanced growth, profitability and value creation over the long term. That concludes our prepared remarks. Kevin and I will be glad to take questions. Operator, please open the line.
Operator: Certainly. [Operator Instructions] Your first question comes from Michael Cherny with Leerink Partners. Please go ahead.
Michael Cherny: Good morning and thanks for taking the question. Maybe if we can just start on equipment, both from a revenue growth perspective, as well as subsequent margins. I know this isn’t the first quarter you’ve talked about macro-oriented pressures, but obviously the trend on challenges in the equipment side have been challenging. As you think about not only ending the year but diving into 2025, how do you think about where your visibility stands, be it the health of the backlog, how you think about the backlog conversion rates, and what that means, especially as we kick off into 2025, knowing obviously full well you haven’t actually given a 2025 color yet?
Don Zurbay: Yeah. Thanks, Michael. Well, I think, we’re watching the backlog closely and we think while our fourth quarter guidance, we talk about some of the macroeconomic pressures on the equipment side of the business. I think, for us, we think that ultimately the strength of that market and our position in it is really going to be what carries the day and so I think if you’re looking forward to FY 2025, and obviously, being careful here, trying to help you, but being careful about our comments, I think, we think that as we move into FY 2025, there is -- we should see improvement. We should see improvement in the equipment side of the business and that’s kind of what we’re thinking about as of right now.
Michael Cherny: Okay. And then as you think about that potential for improvement, how do you think about the internal spend levels? And what I mean by that is you talked about trying to drive ongoing operational improvements. I know it’s something that’s been a big part of your work, basically, since you joined the company, Don. Where do you think you are in terms of operational efficiency across the organization and what are the puts and takes that you can control on your own to offset any potential variability on demand curves?
Don Zurbay: Yeah. So I’ll maybe start and then Kevin can add here. But I think, we think we have a lot of opportunity here. I think I mentioned this in the past, but when we put Kevin Pohlman in place in the Chief Operating Officer role, a big part of his responsibilities really relate to how to get the efficiencies out of the business that we really, we tapped into, but not had really tapped into significantly. As we look across the business and look across our three businesses and how we operate. So there’s a lot of good work being done in this area. Some of it is short-term gains and things that we could get at right away that we’ve worked through, but a big part of that are things that take a little more time and kind of by definition, those are the things that are going to take us more time to get at and we’re working through those right now. So, I feel really good about the opportunity there. I think when we looked into this idea and we put Kevin in place, he’s doing a great job and it’s kind of bearing out like I thought it would. So more to come on that, but maybe I’ll ask Kevin if he has any comments.
Kevin Barry: I think a good example of that here in our fiscal 2024, we’ve had a real focus on investing in some of those opportunities in our logistics network. And we came online with two new distribution centers in our network, one in the U.K., one in Canada, and that team’s done some really good work to leverage our capital spend this year into initiatives that, to Don’s point, will start paying out with better efficiencies in that part of our operation going forward. So I think that’s a good example of things that we’re doing now that as we go forward, we see -- we’re putting our capital to good work. It’s going to bear some fruit in the expense line going forward.
Michael Cherny: Appreciate the color. Thanks so much.
Operator: Your next question comes from the line of Jon Block with Stifel. Please go ahead.
Jon Block: Thanks, guys. Good morning. Maybe just one on each side of the business. Dental Consumables continues to certainly be one of the highlights and maybe, Don, just your thoughts at the mid-single-digit growth is sustainable going forward or were some of these results more one-time due to the challenges that a competitor was having. And maybe just taking a step back, can you speak to the tailwinds that you think you got or lack thereof from the competitor’s challenges over the past few months? And then I’ll ask my follow up.
Don Zurbay: Yeah. Thanks, Jon. So a few things. Obviously, there’s a little bit of art in terms of trying to pin down the exact benefit from the challenges of our competitor. So it’s a little bit difficult to calculate with precision. But I think if you take a look at the four fiscal quarters prior to Q3, we’ve been delivering in this area just over 5% growth when you exclude the certain infection control products. And so, that’s kind of been our baseline and really that continued in the quarter. Our best estimate right now of the impact of that is that it added about 2 percentage points to that growth. So you could think about the 7% growth we had not excluding infection control products as really probably more in the 5% range, which is consistent with kind of where we’ve been. And for us, we tried to take a pretty disciplined and sustainable approach to what happened there. And so, we were looking for share that we think is something that we can sustain and hold on to. But really, the story for me is less about that and more about just the continued execution of the team in the market here at the 5% level over an extended period of time.
Jon Block: Got it. That was very helpful. Thanks for that color. And then just to pivot to Animal Health, the down low-single-digit, I think that was a number for companion animal seems to have lagged the industry of late. And you talked a little bit about why in terms of, I guess, I’ll sort of call it margin integrity. I think you may have alluded to that last quarter as well. So, importantly, does this have another call it two quarters or so until you lap it? And then looking forward into your next maybe fiscal year, do you see any access for Animal Health distributors and the companion animal side for call it access to increase products, certain product lines coming to light in coming quarters? Thanks guys.
Don Zurbay: Yeah. Well, on the first question, I think, yeah, we’re taking a very disciplined approach in this area. I think when you’re dealing with the margin profile there, we have a disciplined way of looking at profitability by customer and a lot of data. And you’re right, for us, it’s been important to take that disciplined approach to the customers and profitability and make sure that we’re serving the customers that value are our proposition and that we feel like we can earn that profitability with. Your question on, we did mention that last quarter. It’s a continuing dynamic this quarter. I’m not sure we’re going to completely lap it in the next two quarters. This has actually been going on for some time and we’ll see how the industry evolves that -- you could probably think about it as lapping in two quarters, but there could be some holdover. I just think, it really proves our approach here on all three businesses, but particularly as you look at the Animal Health businesses and their margin profile. This is an extremely important initiative for us. Yeah, there -- there’s some innovative products coming. We’re excited about it. So, without going into maybe details on exactly all the things that are there, we have some good plans for the companion business.
Kevin Barry: Maybe the one thing I’ll add, Jon, is just, as we have planned for and expect kind of the topline performance we’ve seen in the companion business. But that team’s done a good job of holding the business model to the margin profile. They’re expanding the way we expect. So to build on Don’s point, I think, we’re doing this in a planful disciplined way.
Don Zurbay: Yeah. And I think, one thing you could -- we mentioned in the call, but you could look at the RSVP and ACT transaction as an example here, where it’s not only innovative products that are coming, but we’re looking to expand our service offerings as well into higher margin, more sustainable EBITDA streams.
Jon Block: Got it. Thanks for the color, guys.
Operator: Your next question comes from the line of Jason Bednar with Piper Sandler. Please go ahead.
Jason Bednar: Yeah. Hey. Good morning. I want to build a bit on some of the questions that have been already asked here this morning. But maybe starting first with margins. I know the Dental Equipment performance here in the quarter probably doesn’t help a whole lot, but the other side of the business and consumables was pretty strong as you called out. You talked about your share gain. That’s traditionally a higher margin business and that growth that you got in the quarter should be enough to give you leverage. So I guess my question is, why didn’t it come through in a better way or a bigger way? And can you help maybe with what margins would have been if not for some of those distribution and software investments that you were making that weighed on profitability in the quarter?
Kevin Barry: Yeah. Jason, I think, what I point to is, within the quarter, we did see our gross margins expand for the company. And so while there are some puts and takes from a mixed standpoint, like you point out within our business, gross margin, you’re right, gross margin, consumables mixes favorable in the Dental business, but also, candidly, the Production Animal Health business to lose that a bit. So, but net-net, we did grow our gross margins in the quarter. And the issue from an operating margin standpoint was on the expense line. And to your point, you’re right, we talked a little bit in Q2 about how, we are making some investments in the business and we expected our expense burden here in Q3 to be a bit higher and normalize here as we go into Q4. And that really does relate to the kind of those distribution facilities coming online here earlier in the quarter, as well as the ongoing investments we are making in our software capabilities. I don’t know, I don’t quite have a basis point to give you in terms of you strip all that out with what’s normalized. I think we -- as we go away, we’ll tell you, I think, is going into Q4 here and beyond, we’re obviously very focused on leveraging our operating expenses and getting that back in line so that, we do see that as a tailwind to the op margin performance of the company.
Don Zurbay: Yeah. Jason, I mean, I would just add one thing. I mean, our -- just at a macro level, our P&L margin initiatives also, a big part of that is really just built on leveraging sales growth. So, when you look overall at the business, our sales growth was 4% in the first quarter and the last two quarters has lagged behind a bit just because of the equipment dynamics. So that makes the leveraging story more difficult, but as we move forward and get that growth rate back in line, I think you’ll see the results of that.
Jason Bednar: Okay. Maybe one follow-up and then another question. Just what should we expect in terms of maybe the spend that comes out that was maybe elevated the last quarter to fiscal second quarter and third quarter that comes out as we go forward into the fourth quarter and think about 2025 numbers? And then shifting over to Animal Health, your next year of comps are easier. But I guess what I’m curious about here is whether you have visibility on that companion business turning the corner. Is your visibility on patient traffic getting better? Are there some branded products that are turning generic that might be an opportunity for you? Can you help us with whether there’s any shift in direct versus agency at the turn of the calendar year that we should be aware of as we model out the upcoming quarters?
Kevin Barry: Yeah. I think maybe on your first question about the OpEx, I think, what I’d say is for Q4, we typically see better leverage on our OpEx than we do earlier in the year and I expect that trend to continue. So, basically, to say it another way, I’d expect our OpEx percent of sales to decrease from where we were back here in Q3 into Q4, similar to what it did last year. And then, I’m sorry, I was thinking about your first question, Jason, was the second question on companion.
Don Zurbay: Yeah. Yeah. And I think, Jason, so we’re not, again, trying to be pretty helpful for you as much as possible. But I think, as we get into this, we’re still working through our budgets for fiscal 2025 and kind of the dynamics that we think will play into that. So we’ll probably try to stay a bit disciplined and that’s a great question as we get into next quarter’s call and talk through the budget for the year.
Jason Bednar: Okay. Fair enough. Thank you.
Operator: Your next question comes from Jeff Johnson with Baird. Please go ahead.
Jeff Johnson: Hi, guys. I joined late in all disclosure here, so I apologize if any of this has been asked. But, Don, I joined as you were answering, I think, it was Jon Block’s question, just on kind of the share pickup or growth points you seemed to point to from some disruption from one of your competitors here in the last few months. I couldn’t tell in your answer if you thought those two points were sustainable or if you’d probably get that back and go back to that 5% number you alluded to kind of in the prior quarter. So, one, just if you could clarify that. More importantly, when I look at the consumables market in North America, I don’t think it’s growing 5%. I mean, it seems like there’s a little value seepage from kind of premium branded down to lower price branded or private-label and I’m sure you guys are in that trade down that’s happening. And I think on, volumes, I don’t think are growing more than probably low-single digits at the very best. So where are you getting that 5%? We’ve heard that some of the online discounters have been stagnant, if not maybe even losing share the last couple of years. Is it coming from some of the value added competitors? Just where do you think at 5% you’re getting kind of what I think is probably a couple of few points above market growth over these last four or five, six quarters? Thanks.
Don Zurbay: Yeah. Thanks, Jeff, and too bad you missed all the prepared comments. It’s all brilliant. But I think the 5%, when we look at this, it really is across the Board. I mean, I think, I know that sounds a bit like a pat answer. But when we look through it, I would say, that’s the best way I can explain it to you. There’s not a specific area that I would point to that says, here’s where we’re doing so much better than anywhere else. I think it’s just been across the Board. And so, to us, that feels good. I think we feel like our value proposition here in our process there is working. On the sustainability of the 2%, we try to take a disciplined approach, as I mentioned, to this and work with share that we thought could be sustainable for us. So I think that particular piece of it, we have optimism about our ability to keep it. As it relates to the sustainability of a 7% growth rate, I won’t necessarily comment on that. I mean, it’s a very competitive market. We like the trend here and it’s a trend over a longer period of time. So I think it’s showing up as not just a one-time situation, but I wouldn’t necessarily assume that we can keep up at 7% going forward.
Jeff Johnson: Well, and then, I guess, just the follow-up question, and again, hopefully this wasn’t covered or I’m not asking you to repeat anything. But basic equipment, you have a little bit less exposure -- some less exposure to DSOs maybe than some of your competitors. So I think you’re a good look at kind of what the private practice dentist is doing from an office remodel, office expansion standpoint in that. And we know prices settled out in basic equipment probably closer back down to flattish levels over the next 12 months relative to some elevated pricing in the past 12 months. So just where kind of is that volume growth on the basic equipment side in the private practice channel? Do you think there’s still expansions and remodeling going on? Do you expect that private -- the basic equipment market to be closer to flattish, up or down a little? Just any color there would be helpful. Thank you.
Don Zurbay: Yeah. No. I think there’s definitely an opportunity here for sure in the private practice as well. It moderated in the quarter, but again, as we’ve mentioned before, three-month looks are hard. So we would probably want to look at it as we move forward at more, I wouldn’t say, historical norms, but you may want to look at the core equipment market over time here as you move forward as flat to slightly up.
Operator: Your next question comes from Allen Lutz with Bank of America. Please go ahead.
Allen Lutz: Good morning and thanks for taking the question. Dental patient traffic trends have been all over the place over the past six months or so. Can you speak to the trend that you observed during your fiscal 3Q and any comments on the January exit rate and what you’re seeing so far in February? Thanks.
Don Zurbay: Yeah. Well, I guess, I would say, from our perspective, I mean, I know there’s been some movement up and down to some extent, but I would say generally we view patient traffic as being pretty steady and favorable over the longer term here and that’s kind of our view in terms of what we think happens as we move forward.
Allen Lutz: Okay. Great. And then following up on a question around SG&A, I know it was up a little bit around strategic investments and software spend. Can you just speak to the duration of those investments? I’m not looking for any commentary on 2025, but just trying to understand when should we expect those spending trends to normalize a bit? Thanks.
Kevin Barry: Yeah. I think, for the portion of it that was related to some of those big distribution investments we made this year, those kind of have normalized here in Q4. So we’re seeing those kind of step down. But we continue to invest in our software portfolio. Those will be more sustaining as that team continues to work on those product feature sets and some of that’s capital, some of that’s expense and so that will be more sustaining in our business as that part of the portfolio grows. So you will see a bit of a step down here in Q4 going forward related really to those warehouse expansions.
Allen Lutz: Great. Thank you.
Operator: Your next question comes from Justin Lin with William Blair. Please go ahead.
Justin Lin: Hi. Good morning. Thanks for taking my questions. First, just on the equipment side, what are you seeing in terms of pricing headwinds on the intramural scanner side? Your competitor has talked about that for a while. So just curious to see how that dynamic plays in your Dental Equipment business?
Kevin Barry: Yeah. We’ve -- I think we’ve talked a bit about over the past number of quarters, the pricing pressure in those categories. I think we’re starting to see some stabilization there. We’re starting to sort of lap it. It might have another quarter or two of that headwind, but it certainly seems to be stabilizing from what we see in our data on those high-tech categories.
Justin Lin: Got it. And value-added services on the Dental side specifically is about flat year-over-year. Can you talk about what drove that? Seems a little wide compared to how that business has done historically in the past, call it six quarters.
Kevin Barry: Yeah. So just to remind you that those, that category encompasses kind of a variety of the services we provide our customers, including our software portfolio, our tech service repair portfolio. There can be some seasonality and puts and takes within our tech service business and those software businesses quarter to quarter. So, like you said, we’re kind of flat this year, this quarter for that portfolio. But I think we’d say that, that was one quarter over the long-term. We still expect that part of our business to grow faster than the overall as we continue to invest there.
Don Zurbay: Yeah. I think that would be an important category to look at, again, like many of our categories, but that’s an important one to look at over longer periods of time.
Justin Lin: Got it. Thank you.
Operator: Your next question comes from Kevin Caliendo with UBS. Please go ahead.
Kevin Caliendo: Thanks. Thanks for taking my question. I do want to talk a little bit about 2025 and while I’m not asking for specific guidance, I just want to think about when we think about headwinds and tailwinds as we bridge to 2025, the things that you can control in terms of investment spend and capital deployment. Should we think about those as being incrementally a headwind, a tailwind in terms of investment spend or the way you deploy capital this year was a little bit more aggressive than historical in terms of share buyback? Just thinking about the things that you can control, what might be incrementally positive or negative to earnings growth for next year versus what we saw in fiscal 2024?
Kevin Barry: Well, I think, I’ll start and Don can chime in. Specifically, on the share buybacks, you’re right. We have returned a lot more capital to shareholders this year, and as a result of that, there will be a share tailwind going into Q4 here and into fiscal 2025. That will help us from an EPS standpoint. So that’ll certainly be a tailwind going into next year. For some of the capital expenses we’ve had this year, we have had an elevated amount of CapEx this year. As we get into our budgeting cycle this year, we’re going to be evaluating what the right level is like we always do. It might step down a bit going into next year as we lap some of those investments maybe this year. But I still think we’ve got some really good investment opportunities internally that we want to fund and we’ve got the balance sheet to do so. And Don talk about…
Don Zurbay: Yeah. I mean, I think, Kevin brought up a good point at the end there. I mean, it is elevated. Some of the particular projects that we’ve talked through here will go away. But we do and are finding more and more opportunities internally that are good investment value for us in terms of use of our capital. So I would expect us to continue to be aggressive to find all the internal projects we can that are going to benefit us in the future.
Kevin Caliendo: And if I can ask a quick follow up on Dental Equipment. There is -- I think some of the messaging we heard from your competitor yesterday was that maybe demand was going to come back a little bit in the second half of calendar 2024. And I guess what I’m not asking for any of that, but do you think demand is elastic based on price where the prices have come down enough where now there’s increased demand or was it purely macro interest rates and now that that’s a new normal, things can recover. I’m just interested in your take on sort of what’s driven equipment, both digital and core demand in either category, whether it’s price, economics, interest rates or the like?
Don Zurbay: Yeah. So we -- I would say both of those factors have factored in pretty significantly to what’s happening here in the equipment market. I think it’s also why it’s been a little difficult to call exactly where we’re going. I think, again, as we move into for us -- as we move into our fiscal 2025, which starts in May, I think, we feel like early in the year, we may not see it, but to your point later in the year, I think, we will see some improvement. One of the factors here, too, is just we’re a little bit tied to the innovation cycles and innovation, and we need that as well to help that dynamic. So as we move into the latter part of the calendar year, maybe the latter part of our fiscal year, we hope that’s part of the equation that we think will drive that.
Kevin Caliendo: Thanks, guys.
Operator: Your next question comes from Elizabeth Anderson with Evercore. Please go ahead.
Elizabeth Anderson: Hi, guys. Thanks so much for the question. I was wondering if you could talk about the contribution of private-labeled products in the quarter, particularly Dental. And then as sort of a follow-on, how do you think about the opportunities within specialty? Is that something that you have interest in sort of expanding a presence in that market, obviously, you’ve seen very much above-market growth without that, so I’d just be curious how you’re thinking about that at this point in time?
Kevin Barry: Yeah. So on the private-labeled side, Elizabeth, I’d say, without giving the specific number, but that continues to be an area of focus for the team, especially as we’ve expanded some of the portfolio offerings in our private-label. We’ve seen positive growth there and we continue to see good adoption by our customers, and it’s a big part of, I think, how we’re growing the way we are. So I think that continues to be a real big focus for us and it’s paying some dividends in the market.
Don Zurbay: Yeah. I think on the specialty side, that’s obviously a segment of the market that we’re not significantly in. So without kind of giving away anything on our strategy, we certainly, over time, love to be in that area. It would need to be the right entry point, the right kind of transaction. So it’s hard to say as we move forward whether that’s something that will be part of our portfolio in the future.
Elizabeth Anderson: Got it. And then if we just think about the 4Q cadence, can you remind us of the impact that you guys saw in terms of incentive comps and sort of the outperformance that you had in equipment in the fourth quarter of last year?
Kevin Barry: Yeah. I mean, I think, what I maybe point you back to, Elizabeth, is kind of like to Jason’s question. I mean, we -- even with that comp last year, we still saw our typical, we see some good leverage in the fourth quarter and I expect to see that again this year. There are a number of puts and takes in the OpEx arena here this fourth quarter as well. So I’d just say that we expect to see some moderating spend in the fourth quarter on some of those initiatives we talked about, and again, I see a step down as a percent of sales from where we were in Q3.
Elizabeth Anderson: Got it. Thank you very much.
Operator: Our last question today comes from Nathan Rich with Goldman Sachs. Please go ahead.
Nathan Rich: Great. Good morning and thanks for fitting me in. Just maybe a couple of clarifications at the end. I think I wanted to go back to the revised outlook for equipment and maybe just how that breaks down between core and digital. I understand core was softer in the quarter. Is that really what drove the revision to the outlook and the competitor yesterday, I think, talked about the kind of robust kind of investment plans from practices on the more traditional side. So if that’s what’s driving your revised outlook, just would be curious to get your view there?
Kevin Barry: Yeah. I think it’s fair, Nathan. Obviously, we’re talking about a slightly different timeline, I think, than our competitor is, but as we kind of narrow in here on the last couple of months of our fiscal year and we’re looking at that whole environment, we certainly could see core was a bit softer here in Q3. And as we consider Q4, we built that in for the next couple of months here.
Nathan Rich: Okay. And then, Kevin, I wonder if you could kind of give us a rough sense of maybe how the investment spend has been split between the Dental and Animal Health segments versus what might be in corporate. I guess it sounds like all else equal kind of would expect to step up in margins as a result of that spend stepping down. So just curious where we should see that show up in the P&L?
Kevin Barry: Yeah. I would say, we are not -- in terms of the distribution investments we’ve made, that’s fairly split. There was a significant one on Animal Health and on Dental. So that’s fairly split. The software investments we’re making at this point are more focused on the Dental portfolio. So that’s where that one’s going to run a little bit longer than Animal Health.
Nathan Rich: Great. Thanks very much.
Don Zurbay: Okay. Well, that’s -- I think that’s all our questions. So we’re going to sign off and thank you all for the time today and interest in Patterson Companies and we’ll talk to you next quarter.
Operator: This concludes today’s conference call. Thank you for your participation. You may now disconnect.